Operator: Good morning and welcome to the Choice Properties Real Estate Investment Trust Fourth Quarter 2022 Earnings Conference Call. Today's call is being recorded. After the speaker's remarks, there will be a question-and-answer session. I would now like to hand the conference over to your first speaker today Erin Johnston, Vice President of Finance. Please go ahead. 
Erin Johnston: Thank you. Good morning, and welcome to the Choice Properties Q4 2022 conference call. I'm joined here this morning by Rael Diamond, President and Chief Executive Officer; Mario Barrafato, Chief Financial Officer; and Ana Radic, Chief Operating Officer. Rael will start the call by providing a brief recap of our 2022 performance and cover the highlights of the quarter. Ana will cover our operational results followed by Mario who will conclude the call with a review of our financial results before we open the lines for Q&A. Before we begin today's call, I would like to remind you that by discussing our financial and operating performance and in responding to your questions, we may make forward-looking statements including statements regarding Choice Properties objectives, strategies to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates, intentions, outlook and similar statements concerning anticipated future events, results, circumstances, performance, or exceptions that are not historical facts. These statements are based on our current estimates and assumptions that are subject to the risks and uncertainties that could cause actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the material risks that can impact our financial results and estimates and the assumptions that were made in applying in making these statements can be found in the recently filed 2022 annual financial statements and management discussion and analysis, which are available on our website and on SEDAR. And with that, I'll turn the call over to Rael. 
Rael Diamond: Thank you, Erin and good morning, everyone. 2022 was another year of positive momentum for our business as we significantly advanced our strategic agenda. We remain focused on our goals of preserving our capital, generating stable and growing cash flow and achieving long-term net asset value appreciation and distribution growth over time. We delivered solid operating and financial results in 2022 driven by the strength of our grocery-anchored and necessity-based retail portfolio, the realization of embedded rent growth in our well-located generic industrial portfolio and our growing mixed-use and residential platform. In addition to our strong results, we further enhanced our portfolio by completing over $1.2 billion in real estate transactions. We delivered 3.8% NAV growth in 2022 driven by the strength of our industrial portfolio and progress on developments. On the development front, we transferred $71 million from properties under development to income producing and achieved several key zoning milestones in 2022. We now have over 18 million square feet in our transformational development pipeline with significant near to medium-term opportunities. We took steps this year to ensure we maintained our industry-leading balance sheet despite pressures from rising inflation and rising interest rates. With ongoing economic uncertainty, we remain focused on preserving liquidity and maintaining a balanced debt maturity ladder. Both measures reduce risk and create financial flexibility. This past year we continue to lead the way in sustainability and made significant advancements in our two pillars of fighting climate change and advancing social equity which you will hear more about next week at our Investor Day. We are proud of our ability over the last several years to maintain our stable distribution as we focused on improving the quality of our balance sheet and our portfolio. Given the strength and stability of our business, we are pleased to announce Choice's first distribution increase since 2017. The increase reflects the confidence we have in our business to continue to deliver steady and growing cash flows, our strong financial business -- our strong financial position and the abilities of our talented and diverse team. Turning to our fourth quarter activity. We delivered another strong clean quarter. In terms of operations, we have sustained near full occupancy levels in our retail and industrial portfolios with occupancy at 97.8%. Further our business delivered strong same-asset cash NOI growth of 3.9%. During the quarter we continued to execute on our capital recycling program completing $120 million of transactions, including $75 million of acquisitions and $45 million of dispositions. On the acquisitions front, we completed the purchase of approximately 90,000 square foot Loblaw anchored retail asset in downtown Toronto for $53.3 million. We also completed the acquisition of approximately 22,000 square foot Shoppers Drug Mart in an established and growing mode of born Ontario. As part of the transaction, we entered into a new 50 new lease with shoppers, once again highlighting the benefit of our strategic relationship with our major tenants. Subsequent to the fourth quarter, we completed the acquisition of three stand-alone retail assets located in Western Canada from Loblaw for $98.6 million. While we plan to maintain a balanced capital recycling program in 2023, this was an opportunity to acquire strong performing stores that Loblaw has committed to with new long-term leases executed on acquisition ranging from 15 to 20 years with an average 2% annual rent step over the lease term. On the disposition front, we continue to focus on exiting office as an asset class. And in the quarter completed the disposition of an office property in Halifax, Nova Scotia for $40 million. The same purchaser waived on the purchase of our last remaining Atlantic office building located in Dartmouth, Nova Scotia with closing scheduled by the end of the first quarter of 2023. To date, we have successfully disposed of or under contract to dispose of 9 of 11 non-core office properties. We continue to closely monitor the market and will sell our remaining two office assets as the opportunities present themselves. Progress on our development in the quarter was steady and we are on track to deliver our two active residential developments and 1.4 million square feet of industrial space in 2023. With that, I'm now going to pass the call on to Ana to discuss our operational results. Ana?
Ana Radic: Thank you, Rael, and good morning everyone. As Rael mentioned, we once again delivered strong operational results. We remained near full occupancy ending the quarter at 97.8% occupied, an increase of 10 basis points compared to last quarter. During the quarter, we had approximately 1.35 million square feet of lease expiries, we renewed 1.14 million square feet at an average spread of 30% and we completed 242,000 square feet of new leasing that commenced in the quarter resulting in positive absorption of 23000 square feet. Turning to our asset classes. Occupancy in our approximately 44 million square foot necessity-based retail portfolio continued to strengthen, increasing 10 basis points to 97.8% with positive absorption occurring in almost all major markets demonstrating the strength and quality of our tenants and assets. Demand for retail space remains high. Although consumer disposable income spending is expected to continue to tighten in 2023, traffic volumes at our neighborhood sites remain constant. With over 81% of our retail gross rent being generated from necessity-based and value retailers, we expect our portfolio to continue to perform well. As a reminder, we report rental spreads only on leases that expired and were renewed in the current quarter. We had 507,000 square feet of retail expiries in the quarter and completed 415,000 square feet of renewals, resulting in tenant retention of 82%. These renewals were completed at rents 6.4% above expiry. We also completed a 131,000 square feet of new leasing resulting in positive absorption in the quarter. Half of our new retail leasing came from discount, pet food, quick service restaurants and personal service retailers. As these categories continue their strong appetite for Brick-and-Mortar space particularly in grocery-anchored centers. Given our national portfolio and regional knowledge, we continue to work with our tenants to expand their businesses. Discount retailers continue to add to their store network expanding to smaller markets. Of note, our two new Dollarama locations that opened in our centers in Selkirk, Manitoba and Alexandria, Ontario. Turning to industrial, Market dynamics remain solid. The national industrial availability rate in Q4 was 1.6% with new supply providing little relief. Six out of 10 Canadian markets continue to have availability rates at or below 1.2%. In Q4 of 2022, another new rental growth record was achieved with the average national net rental rate, reaching $13.71, a 30.9% increase year-over-year. Increases were seen in all markets with Montreal to Toronto and the Waterloo Region leading the way with annual year-over-year increases of over 30%. Occupancy in our industrial portfolio is 98.9%. We are close to fully occupied. We had 757,000 square feet of industrial leases expired in the quarter of which we renewed, 646,000 square feet of space at rents 87% above expiry. In Ontario, 273,000 square feet of expiries were renewed at rents, a 157% above the expiring rent. We have significant embedded rental rate growth in our industrial portfolio and continue to see leasing opportunities across our entire industrial portfolio, at rents well above current in-place rents. Our current average in-place industrial rent is $8.43 per square foot. Our high-quality portfolio is primarily leased to necessity-based tenants -- excuse me --and logistics providers who are less sensitive to economic volatility and therefore provide stability to our overall portfolio. We continue to experience positive leasing momentum across our portfolio, and we are well positioned to handle our 2023 lease renewal exposure. I'll now pass the call over to Mario, to discuss our financial performance.
Mario Barrafato: Thank you, Ana and good morning everyone. We are pleased with our solid financial performance in the fourth quarter. Our results, once again, reflect our portfolio stable and growing cash flows. Our reported funds from operations for the fourth quarter, was $174.1 million or $0.41 per unit. Apart from non-recurring G&A expenses of approximately $1.4 million, primarily related to severance and project costs. It was a relatively clean quarter with no significant or unusual one-time items. On a per unit diluted basis our Q4 FFO of $0.41 is in line with the fourth quarter of 2021. The year-over-year increases in same-asset NOI were offset by higher borrowing costs and cash flow dilution from the Allied transaction. And as a reminder the foregone NOI for the sale of our office properties was only partially offset by distribution and interest income. Occupancy increased slightly in the quarter and contributed to our strong same asset results. Same asset cash NOI increased by $8.5 million or 3.9% compared to the fourth quarter of 2021. By asset class, retail increased by $7.5 million or 4.3%. The increase was primarily driven by higher rents on new leasing, contractual rent steps and higher capital recoveries. Excluding the reduction of bad debt expense of $1.2 million retail increased by $6.3 million or 3.5%. Industrial same asset cash NOI increased by approximately $900,000 or 2.5%. This increase was driven by high occupancy and significant rent growth on renewals, as mentioned by Ana. Mixed-use residential another increased by approximately $140,000 or 1.9%. Now turning to our balance sheet, our IFRS NAV increased 2.3% to $13.36 per unit an increase of $220 million over last quarter. Our NAV growth was driven by $207 million of fair value gains on our investment properties partially offset by a downward fair value adjustment on our investment in Allied Properties units. In due call, we're requiring our IFRS to mark-to-market this investment to its trading price as of December 31st. As Ana mentioned, industrial market dynamics remain strong. Our fair value gains reflect the cash flow growth the changes in rent assumptions in our industrial portfolio and also to a lesser extent our retail portfolio. Included in our full year NAV is $442 million of gains on our investment properties. The fair value change in our investment properties was driven by strong industrial fundamentals and the achievement of key milestones in our industrial and mixed-use development programs. This was partially offset by the fair value losses in our retail portfolio, reported in the second quarter to reflect the impact of rising interest rates. We continue to believe that, our valuations appropriately reflect the current market, including the pressure that a higher capital cost environment is putting on real estate economics. We are now seeing external appraisals more in line with our internal values. Turning to our debt maturities. We had minimal financing activity in the quarter and ended the year with $260 million drawn on our credit facility. We closed the quarter with strong debt metrics and ample liquidity. Our debt-to-EBITDA ratio was 7.5 times, and we have approximately $1.2 billion available on our credit facility. This is further supported by approximately $12.3 billion of unencumbered properties. We continue to focus on de-risking the balance sheet and leveraging the various sources of funding available to us. Subsequent to the fourth quarter, taking advantage of the long-term leases on retail properties acquired from Loblaw, which Roll referred to earlier, we committed to $162 million of mortgage financings at tenders between 10 and 20 years. The loans carry a weighted average terminal for 13 years and an indicative all-in cost today of 5.1%. Looking ahead, we have $375 million of unsecured debentures maturing in the first quarter. We remain encouraged by strong demand for our name in the unsecured market, and are confident in our ability to refinance these maturities. Now, touching briefly on our disclosures, we're committed to providing detailed and transparent disclosure, and we're continuously reevaluating our disclosures to ensure that we provide sufficient information to our key stakeholders. As a result, we've made several disclosure improvements throughout our annual report, including detailed tenant and lease maturity profile, information on both retail and industrial segments. So overall, our business model, our stable tenant base, our strong balance sheet, and our disciplined approach to financial management, position us well for future success, and this has set the foundation for our first distribution increase since 2017. One of our financial goals is to continue to drive increases in NAV and distributions over time and this increase reflects our ability to deliver on this goal. Looking ahead, we are confident in our business ability to deliver, and in 2023 we expect stable occupancy across the portfolio resulting in 2% to 3% year-over-year growth in same asset NOI on a cash basis, annual FFO per unit diluted in the range of $0.98 to $0.99 per unit, reflecting a 2% to 3% year-over-year growth and stable leverage metrics. And with that Rael, Ana and I will be glad to answer your questions.
Operator: [Operator Instructions] Our first question will come from the line of Sam Damiani with TD Securities. Please go ahead.
Sam Damiani: Thanks, and good morning, everyone, and congratulations on the good quarter, and a distribution increase. That's great to see. Just wanted to maybe start off on the guidance 2% to 3% same property, similar FFO growth. Just wondering what the offsets you're anticipating in 2023 to not allow FFO growth to grow a little faster?
Mario Barrafato: Hey, Sam, good morning. Well, really right now, we just – we're just cautious on the interest rates. Effectively, we're seeing right now there's still volatility. And while the rates were to be projected to decline at the end of the year, you're seeing that with inflation numbers and job numbers that that maybe that's the pace. So we're just being cautious on interest rates. But we're very, very bullish on NOI. And we've done a lot of work in the last year to ensure that some of the exposures would have had or gone and with the industrial now we're starting to roll up the rents there. So, confident NOI, but cautious on interest expense.
Sam Damiani: Okay. That makes sense. And on the same property guidance, is there a breakdown by retail and industrial that you'd be willing to share at this point?
Mario Barrafato: I guess, directionally industrial will be much higher. So we would say, like with the retail probably in I'd say, the two’s but industrial will be higher to bring that average to close to three. 
Sam Damiani: I see. And just last one for me. The good disclosure by the way breaking down the industrial and the retail, Ana, you mentioned the average in-place rent of $8.43 on the industrial. Do you have – happen to have an estimate of the overall average market rent for your portfolio?
Ana Radic: You know, Sam, we think market to market we have about 40% embedded growth within our industrial portfolio.
Sam Damiani: Great. That's helpful and I'll turn it back. Thank you.
Operator: Your next question will come from the line of Pammi Bir with RBC Capital Markets. Please go ahead.
Pammi Bir: Thanks. Good morning. Just on the properties that were acquired in the quarter and in January from Loblaw, any color you can share just in terms of the cap rates or maybe even a range on those transactions? And then also on the office disposition in [indiscernible]?
Rael Diamond: Pammi, thanks for the question. We generally don't disclose cap rates. But the ones we acquired in the quarter was, call it mid-5s. Office at the moment especially suburban office is really trading on a price per port. I don't know the exact cap rate. I believe it was around 7%. And then the stuff from Loblaw, I don't have it handy right now.
Pammi Bir: Okay. We can maybe circle back on that. Just on the -- I think you mentioned a 2% rent average, I guess, annual rent escalator on the Loblaw properties that were acquired in January. I think that's a bit better than your typical kind of 1.5%. Is -- was that -- is that perhaps the expectation going forward or was there -- was this more of a unique transaction?
Rael Diamond: Okay. I think, it's all going to be dependent at the time we're acquiring an asset and it's all done at market with Loblaw. And truthfully, it's all a function of the starting rent, the cap rate, the growth and that's fair to both sides. So, it is higher than the existing portfolio. But again, it was done at a different time to the existing portfolio with IPO [ph]. And we do expect growth as we roll the Loblaw leases.
Pammi Bir: Got it. Just maybe thinking about the industrial portfolio. Clearly, there's some attractive growth ahead, but it's still a small piece of the overall business. Over the long term, is the intention to keep this in the REIT or would you consider potentially perhaps spinning it off at some point down the road?
Rael Diamond: Yes. Look, when we think about our industrial platform, we have roughly $3.5 billion of income-producing assets and we have this tremendous opportunity to grow it both through embedded rent steps which and embedded rent growth which Ana referred to in the first question. And then secondly, on our development pipeline of roughly 7 million square feet. And we are going to focus on making the best, strongest industrial platform that you can buy in the Canadian REIT landscape within Choice and then we will assess it at that time.
Pammi Bir: Got it. Maybe just last one. Just with respect to the Allied units. What's your thinking about that investment as the lockup period begins to open up over the course of this year?
Rael Diamond: Look, we spectacular financial shape and Allied in our mind is the best office operator in Canada. So, we’re under no pressure to sell the units. We get a stable and in fact, it grew last year distribution from Allied and we'll sell the units over time when it makes sense.
Pammi Bir: Thanks so much, Rael. I'll turn it back. Thank you.
Operator: Your next question will come from the line of Gaurav Mathur with iA Capital Markets. Please go ahead.
Gaurav Mathur: Thank you, and good morning everyone. Just on the office dispositions, can you discuss the depth of the buy approval and the appetite that you're seeing from potential buyers?
Rael Diamond: Thanks for your question. So the assets that we have remaining are generally smaller. They generally considered non-core assets. So the buyer profile is generally private and it's not that deep at the moment just given some of the pressures on the asset class. But as you've seen we've been very successful at executing the dispositions of the non-core. As we said on the call we have two remaining and we'll sell them when the time is right. 
Gaurav Mathur: Okay. And then my next question is when you're thinking about capital allocation in 2023 and as the year unfolds has the return profile changed between acquisitions development and the NCIB when you're comparing it to 2022? 
Mario Barrafato: I think in general right now our focus is allocating more capital to development. We have this opportunity with industrial it's growing. We've been beating performance as we advance our modeling. And basically others, I think, can't develop anything to the yields we can for industrial. So we still continue with recycling. I think it's just prudent management and believe it will be more balanced. As Rael said, we were repositioning the portfolio over the last few years but now we can maintain just some balance capital cycling and allocate more capital to development. 
Gaurav Mathur: Okay. Okay. Great. And just lastly on new and existing leases. Can you just provide some more color on how you're thinking about rent escalators across different asset classes given the persistent inflationary environment? 
Ana Radic: Yes we're pushing as much as we can with respect to our renewing tenants. I think in industrial obviously that gives us a great runway to grow the rents and you'll see, sort of, stronger rental rate growth there. And again with retail that space is also very strong particularly in the neighborhood centers where we have great demand especially as there's very few new developments being built and that's helping us increase rents. So you'll see rental rate growth in excess of what you've seen this year. 
Gaurav Mathur: Okay. Great. Thank you so much for the color, I'll turn it back to the operator. 
Operator: [Operator Instructions] Your next question will come from the line of Himanshu Gupta with Scotiabank. Please go ahead. 
Himanshu Gupta: Thank you and good morning. So just on the balance sheet, I think, you have around $400 million unsecured ventures coming due. I mean do you have a preference for secured financing or unsecured financing at this point of time? 
Mario Barrafato: Hi, Himanshu. Good morning. We are in fortunate in a position that we have access to all sources of capital. And I think we just demonstrated, we just tapped into the secured market and took advantage of our long-term leases and took advantage of these slender for churn. So we're coming out at today's rate is probably about 5.1%. The unsecured market is open for us. We're getting calls every day on demand. I think our spreads are if not the tightest one of the tightest in the industry. And so we have access to multiple sources and we're going to use them all. 
Himanshu Gupta: All right. So Mario like security is around 5.1% there you say the unsecured would be -- like mid-5 or even higher? 
Mario Barrafato: It'd be a bit higher but the gaps are narrowing. The secures are getting higher. So right now I'd say based on today just top of my head by 5.4% probably for an unsecured compared to 5.1% for secured. 
Rael Diamond : But I think Himanshu the important thing to note in the underlying bonds have risen a bit. So as Mario said, the spreads have tightened on unsecured. And then also remember on unsecured, we have a true tenure versus mortgage as the amortization. And as Mario said we really are in a fortunate position given our credit rating to be able to access all forms of debt and go long on all forms.
Mario Barrafato : And Himanshu, the other factor in play is the short-term part of the curve is very steep. Our credit facility is probably the most expensive source of debt right now. So having long-term leases and being able to push out to longer-term is actually more beneficial and we're fortunate to be in that position as well. 
Himanshu Gupta : Right. Thanks for the color there. And just sticking to another follow-up on the distribution increase announcement. So do you have like a target if for payout ratio in mind or is it more a reflection of how do you see your FFO growth going forward?
Mario Barrafato : Yes. No, that's a great question. We for background, as we've said a few times we've been rightsizing the balance sheet, improving portfolio quality investing in growth opportunities and we felt we're in a position to start sharing some of our growth with our investors as opposed to putting it back into the business. And we also think that the payout ratio, which we calculated like our earnings are sovereign just improvement during the pandemic. And you see it right now our abilities to absorb interest rates and stuff like that. So we're focusing on as we grow sharing that. So it will be trying to maintain a consistent payout ratio is where we are today. And just -- but no specific target just stability and launching our leverage metrics and share that business at risk. 
Himanshu Gupta : Got it. That's helpful, Mario. And then just shifting gears on the industrial portfolio. I mean clearly a lot of mark-to-market opportunity there. And it looks like you are expecting something closer to 3% same-store NOI growth this year. Would you say this will further accelerate in the coming years as more lease expiries coming -- come due especially in Ontario region? 
Mario Barrafato : I can jump in. I mean, yes. I mean, like the retail, if we were talking a year ago, we say, our retail flows between 1.5% and 2% and steps are getting a bit higher, but it is stable. And you're right the next three or four years as we get access to the industrial portfolio, especially with GTA, we should be at the high end of that range of -- that's how we get to the two to three range as the industrial will complement the retail. 
Rael Diamond: But to Mario's point Himanshu industrial is definitely higher than the 3% that you quoted. 
Himanshu Gupta : Thank you. Thank you, Rael and thank you, Mario. And I'll turn it back. 
Rael Diamond : Thank you. 
Operator: We have no further questions at this time. I'll turn the conference back over to management for any closing remarks.
Rael Diamond : Thank you, Regina. So to summarize we're very pleased with our fourth quarter and 2022 operating performance. We are truly in a position of strength highlighted by our industry-leading balance sheet and supported by a distribution increase. We look forward to sharing more with you next week at our Investor Day on February 23rd at 1:00 p.m. and information to join the webcast can be found on our website. Thank you for your interest your investment in choice and for joining us this morning. 
Operator: Ladies and gentlemen, that will conclude today's meeting. Thank you all for joining. You may now disconnect.